Operator: Ladies and gentlemen, welcome to the First Quarter 2009 ASUR Earnings Conference Call. My name is Tanya and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. (Operator instructions) I would now like to turn the presentation over to your host for today's call, Mr. Adolfo Castro, CFO. Mr. Castro, please proceed.
Adolfo Castro: Thank you, Tanya. Good morning everybody. Thank you for joining us today for the conference call covering our first quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risk and uncertainties that could cause actual results to differ materially, including risk that may be beyond our Company's control. For an explanation of these risks, please refer to ASUR's filings with the Securities and Exchange Commission and the Mexican Stock Exchange. On today’s call, I want to focus on three key topics – the approval of the Master Development Programs for the next five years, the dividend announcement made yesterday, and finally, the results for the quarter and overall environment. As you know, this month, we received the approval from the Ministry of Communications and Transportation for the Master Development Programs for the year 2009 to the year 2023, and the applicable efficiency factor as well as the maximum tariffs per work load unit for the years 2009 through 2013 [ph]. In summary, between 2009 and 2013, we have committed a total CapEx for 4.7 billion pesos of which one billion has already has already been invested as of December, 2008. The agreement also contemplates a total indicative investment of 2.1 billion for the five years ended in the year 2018, of which 0.6 – has already invested as of the end of last year. An indicative investment of 1.4 billion was also approved for the five-year period ended in the year 2023. Keep in mind, however, that this figure does not take into consideration the proposed Riviera Mayan Airport, which is included in the National Infrastructure Plan for the year 2007 to year 2012. The ACT [ph] has agreed to revise the Master Development terms within three months, hence a new concession is avoided. For the year 2009, the ACT also agreed to a 0.75% year-on-year decrease – increase for the weighted average maximum rate. If we consider the production price index, excluding petroleum, the inflation using this index was 10.48 for the year 2008. The concession agreements for each airport also provide an annual reduction in maximum rates to account the projected improvements in efficiency. For the five-year period ending December 31st, 2013, the maximum rates applicable to ASUR’s airports will be reduced by an annual factor of 0.70% in real terms. The second topic I want to address today is the cash dividend approved at yesterday’s shareholders’ meeting. This consists of a 3.24 pesos ordinary dividend and 3.04 pesos extraordinary dividend that will be paid in one installment on May 13, 2009. Basically, we have 1,961.7 million pesos in retained earnings on which 52.4 million pesos will be used to increase the legal reserve in accordance with Mexican regulations and 1,884 million pesos for the approved dividend. The remaining 25.3 million pesos will be pending to be applied. Now, let me briefly discuss the results. This was quite a good quarter, taking in consideration the challenging global situation. EBITDA margin rose to 69.6% compared from the 67.0% in first quarter 2008 despite the slowdown in total passenger traffic, reflecting today’s uncertain environment. In fact, passenger traffic declined 3.3% compared with a 1.71% increase in the previous quarter and 9.32% posted in fiscal 2008. Total passenger traffic rose 2.1% year-over-year in January and fell 2.2% in February and 8.7% in March. Keep in mind, however, that Easter and Holy Week during 2008 were in March while in 2009 those were in April. Domestic traffic, in turn, was down by 13.9% this quarter, more than offsetting the 3.04% increase in international passenger traffic. International passenger traffic accounted for 66.7% of total traffic for the quarter, up from 62.6% during the first quarter 2008. Domestic passenger traffic faced the impact of loss of some airlines and a reduction in flight frequencies and routes as a result of the macro slowdown that more than offset the decline in fuel costs. Total passenger traffic for Cancún airport was relatively unchanged year-over-year as the 4.54% increase in international traffic was offset by a 16% reduction in domestic traffic. We believe that the international traffic at Cancún continues to driven by the strong depreciation of the peso in relation to the dollar, promotion packages offered by hotels to maintain occupancy, and the proximity to the U.S. Of our other eight airports, only Huatulco, Oaxaca, and Tapachula showed increases in total passenger traffic. Passenger traffic between Mexico, Canada, and the United States represented 90.9% of the total traffic, the same as the first quarter of last year. Total revenues were up 13.2% this quarter, driven by an 8.5% increase in aeronautical revenues and 23.36% growth in non-aeronautical revenues. Commercial revenues remain strong, up 26.73% year-on-year, reaching an all-time high of 60.62 pesos per passenger, from 45.94 [ph] pesos in the year ago quarter and 57.86 in the fourth quarter 2008. Commercial revenues benefited from the 32.9 depreciation in peso against the U.S. dollar since the first quarter 2008 as contracts with some concession holders are U.S. dollar denominated. Operating cost and expenses in turn rose 4.87% year-over-year, as expected. Here there were reorganization implemented in the second quarter 2008 and the expiration of warranties of documented baggage equipment resulted in an increase in personnel and maintenance cost. These together with a higher depreciation as well as the concession and technical assistance fees more than offset the declines in energy and insurance and administrative expenses. As a result of all of these, operating profit for the quarter rose 21.57 to 527.4 million pesos. This quarter, we also made CapEx investments of 17.28 million pesos on the second runway of Cancún Airport. The construction on the runway remains on track and we expect to open these during the fourth quarter 2009. ASUR closed the quarter with cash and short term investments of 1,945 million pesos. The majority remains in short term investments. We may also take some debt to fund the CapEx program for the year 2009 that was approved by the Mexican authorities. Now, let me open the floor for questions. Please, Tanya, go ahead.
Operator: (Operator instructions) And your first question will come from the line of Dan McGoey with Deutsche Bank. Please proceed.
Dan McGoey – Deutsche Bank: Thanks. Good morning. Congratulations on the results and also on the dividend announcement. Adolfo, can you back up a little bit and I guess repeat some of the numbers on the fiscal retained earnings, how much will be used up and how much will be left? I guess what – also adding to that, if you can comment a little bit on the ordinary dividend that at 3.24 pesos per share and what we might expect on a future basis.
Adolfo Castro: Okay, hi good morning, Dan. Thank you for your kind words. In the case of the retained earnings, we have 1961.7 million pesos of retained earnings at the end of the year 2008. On those we applied 52.4 to increase the legal reserve and we will use 1,884 million pesos for the approved dividend. So, the remaining will be 25.3 million pesos and those will be pending to be applied. Why we divided in 324 and 304, basically, because the 324 are resulting from last year’s profit and the rest was what we had from previous years. For the future, we are not changing our way to do the things. So, every year we will revise and see what was the result of the year and then what do we have for the future and finally we will make our proposal to the shareholders as such.
Dan McGoey – Deutsche Bank: Okay. And if I can followup with that, just can you say how much of the fiscal retained earnings was generated either on a trailing 12 – what’s the level of fiscal retained earnings generation on a trailing 12 month basis or what would you expect for 2009?
Adolfo Castro: When you are saying fiscal retained earnings, you are talking about taxes?
Dan McGoey – Deutsche Bank: Sorry, fiscal – I should say fiscal net earnings from which you can distribute dividends. What is that running at on an annualized basis and can we use that as a guide for your dividend paying capacity?
Adolfo Castro: Well, basically, Dan, what we did was to almost clean up all the retained earnings that we had in the Company. I don’t know if this is going to be or could be the same for the future. As I have said, we will evaluate the situation every year and we do once we have the results for the year and the CapEx in front.
Dan McGoey – Deutsche Bank: Okay. I am sorry, last question from me on this subject is that – if the dividend payment and CUFIN that had accumulated was from more than the last year, can you mention what strategically or from an outlook perspective would it change to have increased the dividend from such a low rate historically to the payment today?
Adolfo Castro: Well, first of all, we have visibility in terms of the investments for the next five years. Also, I have to say that the current situation and the global environment requires more from the companies and I think we were able to see what the future outcome it’s going to be. So, what we decided was to – as I said before, to clean up the retained earnings. In terms of taxes, in terms of CUFIN, what I can say to you is that this payment will generate more or less 220 million pesos in taxes – on dividends because we have some CUFIN from the holding company. The holding company was paying income tax last year, so we had some CUFIN account and not all the dividend payment will generate tax on dividend as it was in the past.
Dan McGoey – Deutsche Bank: Okay, thank you.
Adolfo Castro: You are welcome.
Operator: And your next question will come from the line of Alan Solis with Credit Suisse. Please proceed.
Alan Solis – Credit Suisse: Yes, good morning, Adolfo, thanks for the call. My question is regarding commercial revenues. In the press release in Spanish you mentioned that the summary negotiations took place with the concession holders and that benefited the commercial revenues in addition to the peso depreciation. So, what can you expect going for the coming quarters in terms of commercial revenues per PAX?
Adolfo Castro: Alan, good morning. Well basically, I would say in all the cases, once every contract’s due is finished we try to negotiate or renegotiate commercial conditions. Of course, in most of the cases are better than they were in the past. What we do expect for the future, well you know that our objectives are all the time to increase the commercial revenue per passenger. I think that we have done our job very nice and you have the results in front. We cannot assure that we will be increasing these in the future but our objective is to increase that from the level that we have today. We still believe that we can do better.
Alan Solis – Credit Suisse: Okay. Thank you, Adolfo.
Operator: And your next question will come from the line of Karla Patrispina [ph] with Intersayonese [ph]. Please proceed.
Karla Patrispina – Intersayonese: Hi, good morning, Adolfo, a followup on the commercial revenues. I wonder if you could tell us what is the proportion of the commercial revenues that are denominated in dollars and which airports besides Cancún would benefit from a further depreciation of the peso if it does? Thank you.
Adolfo Castro: I cannot give you an exact number because – let me give you an example, if we have a contract that has a minimum guarantee payment per passenger in U.S. dollar in the case of Veracruz Airport, I cannot say that that revenue it’s going to be driven by dollars because in most of the cases the concession holder says hey guy, I cannot increase my prices with the depreciation of the peso because the market will not accept or will stop buying my product. So, it is not just if the contract is in U.S. dollar denominated. Of course, in the case of Cancún, most of the commercial revenue is driven by the international passengers and that is of course U.S. dollar denominated. If I can say my best guess could be something between 55% to 60% U.S. dollar denominated.
Karla Patrispina – Intersayonese: Okay. Thank you.
Adolfo Castro: You’re welcome.
Operator: And your next question will come from the line of Nicolai Sebrell with Morgan Stanley. Please proceed.
Nicolai Sebrell – Morgan Stanley: Hi Adolfo. I wondered if you could comment on two things. First, your performance in margins this quarter was better than we expected particularly with respect to cost of services and I am wondering if we can see similar performance going forward in the year in that line, whether we should probably have a cost of services in the second and third quarter more or like what we saw in the first? Second question regards change in debt, I mean with the dividend and a dividend policy that pays out assuming may be a little bit higher cash in the future, would it be likely that you’d see your debt levels increase?
Adolfo Castro: Hi, good morning, Nick.
Nicolai Sebrell – Morgan Stanley: Good morning.
Adolfo Castro: In the case of the margins, well we are working really hard in the Company to try to reduce our cost levels as much as we can as maybe any other company in the world due to the circumstances. Then most or the large impact this quarter was the reduction in energy prices that we saw from the second week of January due or as a result of a decree from the Mexican President. Remember, if you were hearing the previous conference call the energy cost increased a lot last year. If I remember, the increase was in terms of prices more that 40%. So in the second week of January, the Mexican President reduced the energy by 17%. So, that was a very good element in terms of the cost reduction. Of course, also the insurance policies we were able to negotiate better agreements with the companies. And we are working also in some other areas, specific areas. I am not so sure that we will be able to maintain this in the future in terms of margins. But of course we are trying to do our best in terms of reducing the cost level. In terms of change in debt, yes, we decided to pay this 1.8 billion pesos in dividend and we may also need some debt in the future for the – or to comply the CapEx program for this year. You know that the CapEx program for this year is it’s close to 700 million pesos. And if you make your math, we may be short in some time in the year and probably we will start acquiring [ph] some debt.
Nicolai Sebrell – Morgan Stanley: Okay. Thank you.
Adolfo Castro: You’re welcome.
Operator: And your next question will come from the line of Stephen Trent with Citi. Please proceed.
Stephen Trent – Citi: Good morning, Adolfo. Just two questions from me, the first getting back the debt side, do you have a sense as to over the long term what you might think of as ASUR’s target capital structure? And then my second question regarding the CapEx plan for this new five-year regime, outside of Cancún I seem to recall Veracruz and some of the smaller airports there seem to be rather meaningful numbers and could you give us a sense as to whether those plans entail sort of renovation in many cases, an upgrade of the facilities or some degree of expansion? Thank you.
Adolfo Castro: Okay. Hi good morning, Steve. In terms of equity structure, we don’t have at this moment a specific number or a specific percentage. But I can say to you as I have said many times we will not be an aggressive Company. You know not that with Latin American levels of debt we will debt twice once in September 11, and then in the Hurricane Wilma 2005. So, we will be careful in these and we will not aggressive positions on debt. In the case of the CapEx you are absolutely right. The smaller airports have apparently a higher CapEx that it was in the past. In the case of Veracruz, the clear example, Veracruz has reached a saturation level in terms of the terminal building. If you see the numbers, Veracruz was managing around half a million passengers annually in the year 2005. Today they are very close to one million. That means 100% more of what they had in the past. So, the terminal building is, I would say, completely saturated. So, we will expand that building. The same in the case of Oaxaca and the same in the case Villahermosa. Some other examples is Huatulco with a runway expansion we will expand the runway 300 meters in order to attract the European or to be able to attract the European airport. And on top of these, we have some issues about new rules – new safety rules in the world that apply to the airports, and these have to do with expansions of the runway and safety area. That means the end of the runway must be larger in order that if a plane cannot stop – doesn’t crashes with obstacles in front. So that’s why the smaller airports have more than what the people were expecting.
Stephen Trent – Citi: Great. Thank you, Adolfo. And just one quick followup on that, speaking of these new safety rules you mentioned. Do you get any sense as to what we might be able to read through with respect to potential changes at Mexico City’s airport given the runway there? I know it’s certainly not a (inaudible) airport, but if you add any color on that as to what might be the implications?
Adolfo Castro: Well, it’s a very, very tough question because what I believe is that the – they are not or they will not be compliant with these new kind of rules. The runway and safety areas in Mexico City are completely restrained with physical space. So I really don’t know what they are going to do. Maybe they will say to the world that they are not in compliance with this rule or they will short the runway and they could – what runway will be used as the safety area. I really don’t know. I don’t have a clear answer for that. It’s a tough question.
Stephen Trent – Citi: Very clear, Adolfo, and thanks for the time.
Operator: And your question will come from the line of Andrew West with Harding Loevner. Please proceed.
Andrew West – Harding Loevner: Good morning, Adolfo, thanks for the call. Could you talk about the expanded investments for the next five years? Is there any potential for some of this investment to add incremental returns or to drive revenues up or is it – should I think of it as primarily an expense that has to be – that you just have to do to keep up. And then a second question, just what kind of tax rate would you expect for this year?
Adolfo Castro: Okay. Most of the CapEx for the next five years, it’s going to create in my opinion an expense. If we talk about again this expansion of terminal building in Veracruz, of course that will generate an expense, the additional 300 meters in the case of Huatulco runway will generate in the future and expense. It’s clear that we have some projects to improve costs or to improve efficiency in the operations of the airport. But, of course, those are not the majority of the projects. So, yes, it’s clear that in the future, the cost will be higher due to the larger infrastructure at the airports And your second question was – ?
Andrew West – Harding Loevner: The tax rate expectations?
Adolfo Castro: Tax rate expectations, let me talk about the taxes for a second during the quarter. As you can see in the report, there was a huge increase in the flat tax rate provision that this – the IETU tax. You can see that the first quarter was 17 million and during this quarter it was almost 76 million. The difference is due to the rules of these taxes. Remember that this tax is based on gross profit, but also on a cash basis. So, if you see that we have – we are giving some credit to the airlines between 50 to 90 days. And you go back to the year 2008. During the first quarter, a major portion of what we collected during the months of January, February, and March, was related to revenue that was generated in the year 2007. And that revenue was not subject to IETU tax and that’s why you had seen this large difference. My expectation for this year is that the rate – effective rate will be higher to the 28% and this is because basically the IETU tax – what I expect is that Cancún, which is the largest airport that we have, will be paying IETU tax for this year. So, that will generate a pressure on the 28 corporate rate.
Andrew West – Harding Loevner: Thank you.
Operator: And your next question will come from the line of Mauricio Santos with GBM. Please proceed.
Mauricio Santos – GBM: Hello, hello, good morning. I just have a followup on the issuance debt. Do you have already an estimate of how much debt would you look for? Thank you very much.
Adolfo Castro: Well, Mauricio, I don’t have a precise number, but that can go in my opinion up to 500 million pesos.
Mauricio Santos – GBM: Okay. Thank you.
Operator: And your next question will come from the line of Hansento Lasso [ph] with Lanavo [ph]. Please proceed.
Hansento Lasso – Lanavo: Hi, I have a – hello?
Adolfo Castro: Yes.
Hansento Lasso – Lanavo: Yes, I have a short question about booking in advance packages. You said those revenues were driven by peso dollar depreciation and these packages. Do you know how many days from the day which the person contracts the tourist agency until he travels, he or she travels, do you have an estimate on the number of days of that? Thank you.
Adolfo Castro: Yes, my estimate number in the case of the U.S. and Canada could be between two to three months and in the case of European traffic could be six months to one year.
Hansento Lasso – Lanavo: Thank you. Thank you very much.
Operator: And your next question will come from the line of Pablo Ramos [ph] with Amara Capital [ph]. Please proceed.
Pablo Ramos – Amara Capital: Hi Adolfo, good morning. My question is also regarding the commercial revenues. I was wondering if you could tell us what percentage of these revenues comes from percentage of sales of the different stores and what percentage is fixed from rents you charge the different establishments?
Adolfo Castro: Pablo, good morning. Most of – I would say, probably 90% if we exclude the parking lots, most of the revenue that we are recording here comes from concession fees, which are a portion of sales from the concessionaire [ph]. It’s very – I would say, it’s strange or it’s not common that the concession holder is paying us a minimum guarantee payment per passenger because if they are paying us that minimum guarantee payment is because they are not complying with what they have to sell and they will be in some cases losing money, so they will – left the airport. So most – I can say that most of these is coming from concession fees.
Pablo Ramos – Amara Capital: Okay. Thanks. And parking – how much does parking lots represent from the sales?
Adolfo Castro: Yes, parking lots, I am talking about parking lots because parking lots is something that we operate directly. So, I don’t have a percentage on sales there. I have the whole sale.
Pablo Ramos – Amara Capital: But you do charge some – I mean you have some sales from the parking lot, right?
Adolfo Castro: Yes.
Pablo Ramos – Amara Capital: So –
Adolfo Castro: Yes. But I don’t have any scheme where I have a concessionaire in front. So, I don’t have an amount in terms of rent.
Pablo Ramos – Amara Capital: But in terms of revenues, how much this parking represents?
Adolfo Castro: I don’t remember the number.
Pablo Ramos – Amara Capital: Okay, thanks.
Operator: (Operator instructions) And your next question will come from the line of Andrew West with Harding Loevner. Please proceed.
Andrew West – Harding Loevner: Hi, I thought I have another question. Could you provide some idea of what you are seeing in terms of new routes, frequencies or carriers versus looking forward versus perhaps drop through – drop frequencies, particularly going into Cancún?
Adolfo Castro: Yes, in the case of new routes, I am trying not to be so specific as the other airport groups because in our case we have probably 170 – 180 routes in all of our airports, so it’s very hard for me to be in top of these or in top the 180 routes all the days. But what I can say to you is that basically, we suffered last year because we lost some routes from the airline that were in bankruptcy and the most – probably the most important of those were with Alma. There is a new line – a new airline in Mexico that is going to be managed by Mexicana. That will recuperate most of these routes. They are – they will start durations almost as we speak. And this probably will help us in the future in the case of the domestic traffic. In the case of the international traffic, we have not lost too many routes. Basically what we have lost is some frequencies. That’s what I can say to you.
Andrew West – Harding Loevner: Alright. Thank you.
Adolfo Castro: You’re welcome.
Operator: And your next question will come from the line of Patricio Rivera Torres with Ixe. Please proceed.
Patricio Rivera Torres – Ixe: Yes, hi, Adolfo, good morning. Just a quick question on the concession rights fee that you pay the government. That has been below 5% during the last quarter. So, why is this and is there any explanation and – but whether it’s –
Adolfo Castro: Yes, Patricio, in the case of the concession fee, remember that the concession fee is not for all the revenues. You cannot place a 5% to all revenues because the concession fee is charged as “a rent” for the use of the assets that does not belong to the Company that belongs to the government. So, not all of the assets or not all of the revenues are coming from those assets. Let me give you a very simple and clear example. If we buy a car and then we resell this car or a fire fighting truck, we are not getting a revenue coming from the concession assets. And also this can be applied to some of the products that we are selling in some stores. So, it’s not a direct 5%.
Patricio Rivera Torres – Ixe: Okay. And one more question –
Adolfo Castro: It’s almost a 5%.
Patricio Rivera Torres – Ixe: One more question. Do you expect international traffic to remain strong during this year? I know it’s difficult to say, but what are your expectations as – on the budget basis and how do you see it?
Adolfo Castro: Well, my personal opinion on this is that the international traffic will remain as it is today. I think or I hope that in the case of the international traffic we have seen the worst. I am worried about the domestic traffic because the trend that we are seeing is it’s still a declining trend and remember that we are tourism airports and that this summer it’s mostly domestic traffic. So, I am concerned about the second quarter. Second quarter could be the worst for us in terms of passenger traffic and my expectation is that this will start getting better during the third and fourth quarters.
Patricio Rivera Torres – Ixe: Okay, thank you and congratulations.
Operator: And your next question will come from the line of Hansento Lasso [ph] – Lanavo [ph]. Please proceed.
Hansento Lasso – Lanavo: Thanks. Question already answered.
Operator: (Operator instructions) And there are no more questions at this time. I would now like to turn the call back over to Mr. Adolfo Castro, CFO, for closing remarks.
Adolfo Castro: Thank you, Tanya. As you can see this was another very good quarter. We believe that the approval of the Master Development Plans for the next five years and the ACT agreements to revise these terms in the case of new concession is awarded the proposed Riviera Mayan Airport was a very important step towards reducing market uncertainties. We are confident that our solid business model and healthy balance sheet provide us with a very strong position to continue weather uncertain global environment. Thank you for your attention and for being here with us on this conference. Bye.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.